Operator: Good morning. My name is Stacy and I'll be your conference operator today. At this time, I would like to welcome everyone to the Williams Second Quarter 2008 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. And I would now like to hand the call over to Mr. Travis Campbell, Head of IR. You may begin your conference, sir.
Travis Campbell - Investor Relations: Thank you very much and thanks to everybody and good morning. Welcome to Williams second quarter 2008 earnings call. As always, thanks for your interest in the company. As you probably already figured out, we will not be reviewing a ton of slides this morning, even though it feels like just last week we had a chance to do a much deeper dive into our businesses on June 25th in New York. So today, our plan is to have a pretty crisp call. After my comments, Steve Malcolm, our CEO will go through some thoughts, and then have our CFO, Don Chappel briefly talk about the great second quarter results, and then he updates the guidance since the New York meetings in June. Even though they don't have any prepared remarks this morning, all of business unit heads; Phil Wright, Ralph Hill and Alan Armstrong are here and available to respond to your questions. Before I turn it over to Steve, please note that on our website, williams.com, you'll find the few slides we'll talk from this morning. Additionally, there is another deck labeled Supplemental Material that contains all the data we typically provide each quarter. The second quarter press release and all the coming schedules and the second quarter 10-Q are also available. Slide number two and three titled forward-looking statements disclose various risk factors and uncertainties related to the future operations and expectations. Actual results of course will vary from those expectations due to the factors disclosed. Please review that information as well as the information on slide number four, Oil and Gas Reserves Disclaimer. Also included in the materials are various non-GAAP numbers that have been reconciled back to generally accepted accounting principles. Those schedules are available and are integral to this presentation. So with that, I'll turn it over to Steve.
Steven J. Malcolm - Chairman, President and Chief Executive Officer: Thanks, Travis. And as always, thanks to those of you on the call for your interest in our company. We're very pleased to have the opportunity to discuss Williams' very strong performance in the second quarter and year-to-date and as well our bright outlook for continuing value creation. Obviously, our businesses are hitting on all cylinders, and a great evidence of that is the fact that consolidated second quarter segment profit is up 60%. Our E&P business generated record recurring EBITDA of about $650 million in the quarter. We added 1.5 trillion cubic feet to our 3P reserves through two bolt-on acquisitions; one in the Piceance and the other in the Barnett Shale. Our finding costs continue to be well below the industry average, and we successfully complete nearly a 100% of the wells that we drilled. In our Midstream business, we benefited again from margins that were very strong, but as well from higher fee-based revenues as well. Our Midstream business is generating robust cash flows. We have a high degree of optimism around the many opportunities that we're pursuing, particularly those in Canada where we see opportunities that fit very well with our current operations and fit with the expertise that we have there around the oil sands. In our Gas Pipeline business, we continue to see opportunities for customer-supported and demand-driven expansions, and of course this business plays an important role as a consistent generator of cash that helps fund our higher return projects. So again, we couldn't feel any better about our performance in our businesses. Having spent an entire day telling our story in New York on June 25th, I only have one slide that I would quickly like to review this, this morning and the essence of that slide is I believe that we have the right strategy. We certainly created a prime position for ourselves from which to execute that strategy and we have a strong track record of crisply executing around our strategy. Our operations span the natural gas value chain. I think it's a good time to be focused on natural gas. The outlook for natural gas is continuing to get better and better, it's a obvious growing role for this clean burning domestically fuelled produced fuel, so it's a good time to be in natural gas. Scales is a key element of our strategy, so you see Williams in basins and markets where we can be at or near the top of the market participants. I think our strategy has legs, has longevity when it comes to value creation. Williams is and has been turning in performance at a level that drives value. And clearly our strategy is designed to deliver sustained value creation in the future. We have created that prime strategic position from which to successfully execute our strategy. We have an abundant expanding slate of opportunities within our reach. And that slate of opportunities continues to grow almost each day. Our portfolio creates value and opportunities and I believe it mitigates risks. And our businesses fit very well together. Over the past six years, we've been all about crisp executions. And so, you see us continuing to deliver earnings growth with a very strong outlook for the future. We're performing well in a variety of commodity markets. We're growing production; we have low finding costs and near 100% drilling success. And it's not just a Piceance story, as well with Powder River production up 41% in the second quarter and as well with the contributions from the Barnett Shale, a very diverse story there in terms of our productions. We're completing our projects on time and on budget, as we make disciplined investments in production and processing and in key infrastructure. I believe that we're successfully managing the basis differentials, as we've said many times we're a Rockies producer, but we're not a Rockies price taker. An 83% of our domestic production gets better than Rockies prices. And as we have done in the past, we're willing to pull other value creation levers. A great example of that is the fact that we just recently completed our $1 billion share repurchase program. So with that quick review, I'll turn it over to Don.
Don R. Chappel - Senior Vice President and Chief Financial Officer: Thanks, Steve. Before I dive into the detailed slides here, I'll just note that net income was $437 million for the quarter, or $0.37 a share. More importantly, our adjusted earnings after eliminating non-recurring items and mark-to-market effects were $406 million or $0.68 a share, up 58% on a per share basis. And for year-to-date purpose... period, $747 million or $1.25 a share, up 69%, very strong quarter, very strong first half and we are very enthusiastic about the balance of 2008, 2009 and beyond. Let's dive into the next slide here, and this is slide number six. This is second quarter segment profit. First, I'd just point at the total near the bottom, the segment profit after mark-to-market adjustments that's highlighted in blue. You can see $902 million on a recurring basis, $624 million a year ago, an improvement of $278 million or 45%. The reconciliation between reported and recurring as well as mark-to-market is included in the supplemental deck. Just to go up to top there, E&P posted $471 million of recurring segment profit. That was even higher with the gain on the Peru asset sale, but on the recurring basis that's up 262 million or 125%. We are quite delighted by that. We saw 24% increase in domestic production and related sales, which delivered about $105 million of additional segment profit. We had higher average realized gas prices, about 806 versus 539 a year ago. That totaled about $273 million of contribution. Along with these higher volumes and prices were higher costs, which partially offset these benefits. DD&A was up $51 million, operating taxes $33 million and LOE up $12 million. But again very strong earnings posted by E&P and perhaps even more importantly, a very, very strong production increase at 24%. The hedges that affected E&P's results are included in page 14 of the appendix, both for the quarter as forward periods. Taking a look next at Midstream results, Midstream results were also very, very strong. Higher olefin margins contributed $26 million, higher NGL margins $18 million for the quarter, higher fee-based revenues $23 million and these were offset somewhat by higher O&M costs. Again, Midstream's results of $233 million were up $42 million or 17% from the same quarter a year ago, which was also a very strong period. Midstream is very well positioned to continue to outperform its peers and deliver very strong earnings and value. Gas pipeline results were also up, up $13 million or 8% for the quarter, a very steady and improving results. Gas Marketing results were off somewhat and let me remind you we've been working through exiting positions that we considered legacy after the sale of our Power business and the shrinking of the scope of the gas marketing business. And we've largely exited those legacy positions. As well during the quarter we had... gas was injected in the storage, sold forward to lock in prices and a profit. However, interim decline in gas prices caused that to be written down to lower cost to market, that's a timing issue that will come back next year. As well, we had some inventory gains that were eliminated. Again E&P sells gas to gas marketing, but the profit on that gas is eliminated in the Gas Marketing segment. So, those were couple of the items that contributed to the loss for the current quarter. I think most importantly, we now expect Gas Marketing to be about breakeven for the balance of 2008, as well as 2009. Turning next to slide number seven, year-to-date results. Again, focus on the total for segment profit after mark-to-market adjustment, $1.674 billion, up $558 million or 50% from the prior year. And then looking at each of our business units, E&P is up 97%, Midstream up 40% and Pipes up 14%, so again very strong earnings and then finally, Gas marketing on the year-to-date basis posting a loss of $13 million relatively and significant. Let's now turn to slide number eight. I'd like to just touch on our updated guidance. We've made a modest adjustment to raise the lower end of our guidance for 2008 from a range of 230 to 280, up to 235 to 280. Let me remind you that we've not changed our price assumptions for the year, so this is centered around a range of $100 to $120 WTI crude and $9 to $10.50 NYMEX gas and the details including the basin level details are on slide 41 as well as included in the press release. But again at $100 oil for the year, which again, we're well through the year, and $9 NYMEX gas we're comfortable with the bottom end of the range and certainly if we average $120 and 10.50 on the gas then the higher end of the range is within our reach. Just turning the page to 2009 and again, we've not any changes in our price assumptions since June 25th. However, some increase in E&P production as it relates to those acquisitions boosted our segment profit and our EPS range somewhat, so we're now at a range of 210 to 295 versus the range we had just six weeks ago. And again, the price stack that we are using in 2009 is a range of 80 to 120 on WTI crude and NYMEX on $8 to 10.50. So again with $80 oil and $8 NYMEX gas, we think that $2.10 is within reach. And certainly, if we see $120 crude and 10.50 gas again, then we're closer to $3. Let's just turn the page to slide number 10 and some of detail. Again, some very minor adjustments from June 25th in terms of our segment profit guidance. But, I think importantly you can see here, despite the fact that we have assumed lower prices in 2009, we improved somewhat our profitability despite those lower prices and lower margins. So, if we enjoy higher prices or constant prices between the two years, I think you'd see very strong gains in 2009. Just turning the page to slide number 11, again some modest adjustments there, really changed only to reflect the acquisition of the assets in the Barnett Shale of our E&P business. The next slide; number 12, cash flow. We've updated that again to reflect the changes in both our segment profit guidance and our CapEx. And again, this lays it out as we're thinking about it today and certainly we have a number of options and levers that we can pull. I would just note that we completed our share repurchase that the Board authorized a year ago. In July2007, the Board authorized $1 billion share repurchase. We've now completed that. We bought back nearly 29 million shares at an average price of 34.74, which up until a few weeks ago looked to be very attractive. Today, it doesn't look as attractive and I'm sure that we'll look back upon this in the future and be quite delighted with the share buyback program. Let's turn the page to slide number 13. Certainly, we've had some questions and ongoing concern about Rockies prices and I just like to layout for you, kind of where we're at graphically. So, on the left is our consolidated position. Our long position in E&P, our short position in Midstream as well as the effect of our hedges, and then to the right will be Rockies. So just to walk you through it again, the green, the about 1 billion cubic feet a day is our gross position net of fuel and shrink and production taxes on E&P. That green areas is financially hedged, principally with collars so there is some variation within that. But, you'll see those collars in our materials and most of the prices are still quite attractive, at the bottom into the collar with very attractive ceilings on those collars. I'd also note that we do have some what we consider to be legacy hedges, about 70 million day at a price of about $4. That's included in 2008. The yellow would be the un-hedged E&P volume. The bluish color below line is the short Midstream position, so you see although we produce over a Bcf a day, our length is more in a 100 billion cubic feet a day range, and that's for 2008 and 2009. If you move over to Rockies, you can see that after we transport our gas out of the Rockies and so with another basin, the amount that's actually sold in the Rockies is substantial reduced. So we are selling in the Rockies, the top of that green bar, so somewhere in the 300 million a range. We financially hedge the piece of that. The yellow again is the open position; the blue is the Midstream short position, so you can see we're basically flat in 2008 in terms of Rockies basis. By 2009, we are slightly long, but not very long at all in terms of Rockies basis. So again, Rockies basis when it widens is detrimental to our E&P business but helpful to our Midstream business and it's pretty much a wash at the Williams level. So I thought that was an important point to point out to you. With that, I'll turn it back to Steve for some comments and questions.
Steven J. Malcolm - Chairman, President and Chief Executive Officer: Thanks, Don. So, all three of our businesses generated excellent second quarter results, we continue to be confident in our ability to continue to post strong numbers. Our business unit leaders are here and we are looking forward to your questions. Question And Answer
Operator: [Operator Instruction's]. Your next question comes from the line of Carl Kirst with BMO Capital.
Carl Kirst - BMO Capital Markets: Good morning, everybody and nice execution on the quarter. Two questions, if I could. The first, an operational question, just meant to ask from the June meeting. But Ralph, with respect to all of the clamor that's going on around the Roan Plateau, the environmental issues. Do you see that moving from a disruptive standpoint from the lease sale to potentially activity? I mean is that anything that you guys are worried about?
Ralph A. Hill - Senior Vice President, Exploration and Production: Well, I believe the sale, the lease sales is scheduled to go off August 14th. Obviously, we have a position all around the Roan. We are evaluating that closely. There are... I think if the record decision has some very owners' term in it, so I am not sure how fast the pace of play development would be on the Roan and that's one of the considerations we're taking into as we look at the upcoming lease sale. Does that help what you asked?
Carl Kirst - BMO Capital Markets: Yeah no, it does. I guess, it's the upshot I think it's still probably too preliminary to know what type of impact we might have. But certainly that you're seeing that could immediately be detrimental to your guys production views, say for perhaps in 2009.
Ralph A. Hill - Senior Vice President, Exploration and Production: No, we don't see that detrimental or anything we have in the existing valley or in existing what we call the highlands areas, we don't see that. That's a separate EIS, separate record decisions, separates rules nothing that goes on in the Roan will affect anything else we have in our other areas. So, and as you know, since the Roan is an open outcry bidding thing, who know who will win what and when that happens, but all the numbers you see for us going forward are based on the highlands and the valley only. And we don't think it's going to effect us.
Carl Kirst - BMO Capital Markets: Okay, fair enough. The second question and sort of an open one to Steve. Obviously, one of the things that has changed over the past five weeks has been sort of the valuations in the E&P world you guys included, and not under the guise of what have you done for you lately, but here we've just now closed a share buyback program at $35 stock. Is it 31 and may be I can ask it in a kind of a generic sense that with some of the shifts in valuation, does it increase appetite for acquisitions, sort of including your own stock, maybe I'll just ask it that way?
Steven J. Malcolm - Chairman, President and Chief Executive Officer: Thanks, Carl for the question. We are in the midst here of a strange and challenging market. And it certainly had an impact on valuations. I don't think that we want to change our strategy and our focus, just because of the last five weeks as you mentioned. We're going to continue to be investing in these wonderful projects and I can't emphasize enough how the slate and the visibility around those projects continues to grow. However, we have pulled the levers periodically to create incremental value. And we'll continue to look at that and evaluate it as we consider additional investment in projects that will create long-term value for our shareholders.
Carl Kirst - BMO Capital Markets: Okay fair enough. Thanks, guys.
Operator: Your next question comes from the line of Rick Gross with Lehman brothers.
Richard Gross - Lehman Brothers: Good morning. I'll ask a question on the Powder River. The volumes there have been very, very strong and I am just curious what the driver is there? Obviously, the well current was up in '07 and you probably got some dewatering and debottlenecking of the pipeline grid, but what's going on there in either any new answers about wells that you brought on that are dewatering the bottleneck that you alleviated, are you getting close to filling up and creating more of a bottleneck that you're going to need more outlet capacity? How do we interpret 41% increase in the Powder River?
Ralph A. Hill - Senior Vice President, Exploration and Production: I'd interpret... this is Ralph. I would interpret it very good. We feel very positive about the Powder as I mentioned for a couple of years, we are waiting on several things to happen and with the Big George as you know, is a much more prolific coal, thicker, more charged, greater gas content and it is coming on much better than the Wyodak coal. That combined with the Fort Union gas gathering debottlenecking, which we did, we think allowed for the Big George to really kick in, and in the slide we showed on June 25th, the Big George compared to the Wyodak at this stage of its growth is immensely better than the Wyodak's growth and Wyodak was obviously a good coal. So, we don't... and we've been very proactive in signing up for transportation capacity away from the Powder. We're working on new capacity away, so we don't see that as a bottleneck for us at least going forward. And we do hope that we can keep this pace of drilling up. We believe our partner wants to do the same thing. Again, there is always a little dewatering time, but the areas we're in look to be very prolific, so we're very happy with it. It probably won't be 41% every quarter, but we do expect the Big George to continue to be a great coal for us and see our volumes grow very strongly.
Richard Gross - Lehman Brothers: Are the wells coming in better than what you had modeled?
Ralph A. Hill - Senior Vice President, Exploration and Production: They're really coming in at about that 0.5 Bcf we talked about. So, no, they're not really coming in much better, just that... it's just they are making the impact of debottleneck in that gathering system what that did to help us on pressures and also just the dewatering of a lot of the coals at the same time.
Richard Gross - Lehman Brothers: Okay. Do we think we'll get more rigs into the field either in the Piceance where you're a little bit higher than your 25 and whether you'll get more into the Barnett now that you've got a little bit more acreage?
Ralph A. Hill - Senior Vice President, Exploration and Production: Yeah, we're working on that right now. We, as we mentioned when we did the Samrich [ph] acquisition, we believe we would add at least two into the Highlands and we mentioned two more rigs in the Barnett at least and we're working on an additional rig. So, I could see this more like maybe up to even seven rigs in the Barnett and 28 or so in the total Piceance. So we're looking to add that and that's part of our analysis as we're go through as working through on 2009 plus plans.
Richard Gross - Lehman Brothers: Okay, thank you. And just one last and I will follow up and maybe ask it directly. You finished the share buyback, are you going to authorize a new one? You still got about 2 billion in cash. By our estimation, you still generates some pretty good cash flows and the stock is lower than your average purchase price. What's the... are you going to go to Board for another authorization?
Steven J. Malcolm - Chairman, President and Chief Executive Officer: We will continue to evaluate that, Rick as we look and consider and evaluate some of these wonderful capital projects that we've talked about in the past.
Richard Gross - Lehman Brothers: Okay, thank you.
Operator: Your next question comes from the line of Sam Brothwell with Wachovia.
Sam Brothwell - Wachovia Securities: Question for Alan. I know that you kept your outlook for the rest of the year in Midstream where it was. Just wondering if you could speak a little bit to how you see the near term outlook there and particularly what you see going on in ethane?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Ethane as you know, has been very, very volatile. In fact in the last two days, it's come off about almost $0.18 per gallon in the last two days. And that has been caused by some of the heavy crackers that in the second quarter were out buying ethylene because the heavy feedstocks were too, were upside down in terms of margins. So, they were actually buying ethylene. Today they're back buying butanes and propanes and who knows, up pretty quickly and now are selling ethylene into that market. And so, don't know how long that will last before the butanes' and propanes' price pressure on those turns around. But, overall the answer to your question on ethane, we did... we certainly are continuing to enjoy continued exports in the ethylene derivatives. And don't see that necessarily turning around. And so, I expect things to stabilize, basically ethane's correction in last two days has just put it back in the money relative to butanes and propanes. So, I would expect the demand to remain there.
Sam Brothwell - Wachovia Securities: But...
Don R. Chappel - Senior Vice President and Chief Financial Officer: That is the soft spot and probably the only reason that we wouldn't be raising guidance any further right now, it's just concern over the NGLs as it relates to crude oil.
Sam Brothwell - Wachovia Securities: Okay and looking a little bit longer term, I know you're adding quite a bit of processing capacity including ethane cut in the Rockies. Has your longer term view changed at all relative to that?
Don R. Chappel - Senior Vice President and Chief Financial Officer: We continue to study that very closely, as you know. But we haven't changed our perspective on that.
Sam Brothwell - Wachovia Securities: Okay, thanks very much
Operator: The next question comes from the lines of Faisel Khan with Citigroup
Faisel Khan - Citigroup: On the Piceance, I just want to get a clarification. In terms of how many wells do you guys expect this year in the Highlands in '08 and then '09?
Ralph A. Hill - Senior Vice President, Exploration and Production: Is the Highlands?
Faisel Khan - Citigroup: Yeah.
Ralph A. Hill - Senior Vice President, Exploration and Production: We were currently scheduled to be in the 120 range or so in '08, 100 to 120 in next year, we're still working on that we but hope to have that more in the 175, 150 to175 range.
Faisel Khan - Citigroup: Okay.
Ralph A. Hill - Senior Vice President, Exploration and Production: Possibly more, we are just not quite done with all of our rig contract in and we are still in some of areas delineating the fields and we are moving much more to pad drilling up there, but there is still some areas that we need to understand first before we can fully commit how many we will have there. But as I mentioned we are working to that. We should have that... definitely have that by the next call and we hope to at least be in that range.
Faisel Khan - Citigroup: Okay. And just on the Midstream side, the equation, the large ramp back up in NGL equity sales to I think 266 million gallon, seems to be churning a little bit higher than what you guys were doing last year? Can you just comment on what's going on there? I know you had some planned outages in the first quarter, but I just want to figure out what's causing the larger than expected ramp back up in production in the second quarter?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Just second quarter to second quarter comparison?
Faisel Khan - Citigroup: Yeah.
Don R. Chappel - Senior Vice President and Chief Financial Officer: Mostly its just that all the plants have been up and running full bore, we did have some maintenance outages in the second quarter of last year. So we are really... did pretty well full stride this year probably though the one major difference beyond that is we instigated the new takeaway at our Wamsutter facility, we've got a takeaway over to a CIG lowlands plant there. So we're taking about 80 million a day over in processing at that plant. And so, that's incremental capacity in effect that we're leasing out in effect from the lowlands plant.
Faisel Khan - Citigroup: Okay. Is there any update on your negotiations on the kind of Canadian... on the Canadian project side? I mean are you still looking at keep whole sort of contract or fee-based contract. Any sort of update there?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Yes, the business that we've been pursuing up there at the model that we have up there would be fee-based to balance out the current keep whole business that we have up there. And things are progressing very well in those negotiations and hope to report something in the not too distant future on that.
Faisel Khan - Citigroup: Okay, great. Thanks a lot.
Operator: Your next question comes from the line of Shneur Gershuni with UBS.
Shneur Gershuni - UBS: Good morning. Most of my questions actually just got asked. Just a couple of clarifications. Don, you mentioned about the Gas marketing business. So effectively this quarter, you injected gas in and the value of inventory declined, but you basically have that margin locked in and that should obviously be realized in the first quarter of '09?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Yes that's a factor in the current quarter as well as I mentioned gas sold and still in the inventory, gas sold from E&P to Gas Marketing for future sale including that which is in storage gets reduced back to cost, so its gives mark down the cost and then that profit is recognized by Gas Marketing when it's sold.
Shneur Gershuni - UBS: Okay. And then second question just with respect to NGL, sorry everybody keeps asking this one here. But I mean are you guys experiencing a delinking with respect to oil and is there any specific reason why your operations would have a different margin than some of the major indexes like mount LVO [ph] and so forth with respect to margin?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Yes, sure. I'll take that. First of all, I mentioned the lowering that we had on ethane here recently. But what I failed to mention was the run up we had just prior to that. We saw ethane go up to almost 45% of crude oil, which was above historical norms in the June timeframe and then we've seen it come back down. It's probably around 40 to 41% now, which is slightly below that to about the same degree. And as I said I think we'll see that normalize, now that it's back at the lower cost feedstock for the crackers. So I don't... even though it's been volatile, I expect that to level out somewhat. In terms of why our margins are different sometimes than a lot of our peers, first of all, most of our businesses keep whole, we don't... in terms of the commodity-based contracts that we have most of the people and so for those commodity-based contracts you'll see competitor's margins being percent of liquids where they're just taking the actual margin on the liquid they sold versus ours are the spread between the gas and the liquids. And so that's a major difference. As to difference between ours and other keep whole competitors, the main difference that we enjoy is the base of spread in the Rockies is a much better component of our production than most parties. And so, we see our margins generally be pretty high on the keep whole side relative to other keep whole margins because of the Rockies basis differential. And you'll see that actually improve even more that spread even widen as the Overland Pass line comes off, which will kick up our NGL margins by about $0.085 per gallon from those Rockies base production.
Shneur Gershuni - UBS: And so I guess that is why you're performance could differ from same mount LVM [ph] and so forth, when if you'd just use those index prices?
Don R. Chappel - Senior Vice President and Chief Financial Officer: That's exactly right. So, you'd have to take a Rockies gas price into a pretty big chuck of our volumes there.
Shneur Gershuni - UBS: Okay. And then just one final question with respect to cash flow. I am not sure if I understood the Steve's response before. But the buyback is done, you've shown that you had cash flow and you said that you're potentially evaluating other projects. But it appears to be that there is cash flow beyond the projects that you're evaluating based on the slides that you put out today. I mean, would that be something that the Board would consider very encouraging with respect to extending the share buyback program?
Don R. Chappel - Senior Vice President and Chief Financial Officer: Shneur, this is Don Chappel, I will just comment again of our cash balance is about $500 million, it's international, some of which is required to support the international operations. Some is excess and that's been earmarked for those Canadian opportunities then we bring it back to the really domestic cash balance, it's closer to $1 billion not $2 billion, and I think most of that is been earmarked for projects, so as attractive as the buy back is, we've had some tough choices. So we'll continue to consider all the options that we have and we'll try to pull those that we believe will create the greatest long-term value.
Shneur Gershuni - UBS: So just to clarify, basically your consolidated balance sheet cash flow is not necessarily completely available as it would appear.
Don R. Chappel - Senior Vice President and Chief Financial Officer: I think if you'll look at one of our slides in the back you'll see that we do back out some customer deposits as well as the international cash, which is again earmarked for either supporting and this is on slide number 38 in the supplement.
Shneur Gershuni - UBS: Okay.
Don R. Chappel - Senior Vice President and Chief Financial Officer: There is 557. That's either MLP cash or international cash, it's largely international cash and then there is $119 million of customer margin deposits, so that's almost $700 million reduction in the cash balance you see in the balance sheet. And then our capital spending exceeds our cash flows, so that continues to work that balance down.
Shneur Gershuni - UBS: Okay. That makes perfect sense. Thank you very much.
Don R. Chappel - Senior Vice President and Chief Financial Officer: You welcome
Operator: There are no further questions at this time.
Steven J. Malcolm - Chairman, President and Chief Executive Officer: Okay thank you. We are very pleased with the second quarter results, we are excited about the future, committed to continued crisp execution around our strategy and we will continue to evaluate the various levers that we might pull to create incremental value for our shareholders. So thank you for your interest.
Operator: This concludes today's conference call. You may now disconnect.